Operator:
’: I would now like to hand the conference over to your speaker today, Mr. Christian Pikul. Sir, please go ahead.
’: I would now like to hand the conference over to your speaker today, Mr. Christian Pikul. Sir, please go ahead.
’: I would now like to hand the conference over to your speaker today, Mr. Christian Pikul. Sir, please go ahead.
Christian Pikul: Yeah. Thank you. Good morning, everybody. Again thanks for joining us. With me as usual are Andrew Clyde, President and Chief Executive Officer; Mindy West, Executive Vice President and Chief Financial Officer; and Donnie Smith, Vice President and Controller.
’: Please keep in mind that some of the comments made during this call, including the Q&A portion will be considered forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. As such, no assurances can be given that these events will occur or that the projections will be attained. A variety of factors exist that may cause actual results to differ. For further discussion of risk factors, please see the latest Murphy USA Forms 10-K, 10-Q, 8-K and other recent SEC filings. Murphy USA takes no duty to publicly update or revise any forward-looking statements.
’:
’:
Andrew Clyde:
’:
I am: Make no mistake, these results were the outcome of a deliberate set of choices and intentional actions taken during the quarter that built on decisions and capabilities we have developed since spin, which in turn helped us overcome these challenges and deliver bottomline results in the manner you have come to expect as Murphy USA shareholders. So rather than walk through operational highlights, as I would normally do, I want to take this opportunity to do something different as we reflect on the COVID environment, recognize and thank key contributors, including our field and home office heroes, and communicate to you just how nimble and responsive our business can be when it comes to serving customers, working with strategic partners, supporting our employees and delivering for all our stakeholders. To frame this conversation, we created a top 10 list of some of the achievements we think are most representative of the Murphy USA spirit, commitment, and passion for our business. Number one; leading through merchandise supply chain disruptions. We were certainly not the only retailer to face potentially disruptive supply chain issues, but our team was proactive and went the extra mile to ensure we could continue serving our customers. Let me give you a few examples. One of the reasons we were drawn to QuickChek was the shared culture and work ethic and during the quarter, the team proved themselves as committed to their customers as we are to ours. When faced with supply shortages that potentially impacted their prepared food offer, the operations team filled the void to make sure product got from suppliers to the stores, including renting trucks themselves to deliver fresh produce, so they could keep serving customers. That is what I call amazing spirit and a commitment to customer service. On the merchandise front, some of our largest suppliers were disrupted due to raw material availability and workforce shortages, which resulted in reduced availability of certain items. Our team had to go the extra mile to ensure our stores remain stocked, keeping in constant contact with vendor partners, taking deliveries of product outside normal operating hours, adjusting the promotional calendar when appropriate and communicating updated planogram tactics to the stores. Number two; adapting to the ransomware attack on the Colonial pipeline. Low probability and almost unforeseeable outlier events continue to make headlines with the most recent being the ransomware attack on the Colonial pipeline where we are one of the largest shippers. The event mirrored in many ways a major hurricane for which we are very well prepared as we witnessed significant pre-buying activity before outages began. The event impacted nearly a third of our stores and resulted in widespread gasoline shortages across the Southeastern United States. Our supply team with their capabilities, experiences and assets was able to optimize routing of fuel supplies from other markets, while leveraging our fuel carrier partnerships and storage positions to help minimize operational impact. As such, total volume impact was minimal across the time horizon of the event. Number three; navigating continued driver shortages for fuel and merchandise logistics. Driver availability, which has been a material and contributing factor to broader fuel and merchandise supply chain challenges, also impacted store operations. In this case, our scale and strategic relationships with fuel carriers helped to minimize outages and rate increases on the fuel transport side. From a broader merchandising perspective, store operations were challenged as fewer deliveries translated to extra labor and effort to stock and display some direct distributed products further taxing store level employees. Our renewed partnership with Core-Mark continue to pay dividends, as they maintained excellent fill rates on core products and their new track my order real-time logistics technology allowed efficient use of store labor. Despite the three externalities highlighted above, we continued to press forward with major initiatives to drive improvements to position the business for the future.
’: On a same-store basis, we grew tobacco sales slightly, but margin dollars grew at a 2.2% rate in the second quarter versus 2020. Meanwhile, the two-year stack shows growth north of 20%, meaning we have maintained and grown tobacco contribution from existing customers and new customers that we were able to better serve during the pandemic. Through targeted category investments in shelf space and fixtures, coupled with our scale and upselling ability, and of course, the unique advantages of our Murphy Drive Rewards capabilities, we have become the retailer of choice for new product promotional activity in the broader tobacco category, a distinction that enhances our long-term participation in the evolving category as manufacturers continue to support and promote alternative nicotine products as they did in Q2.
’: In a normal environment, the ability to properly staff our stores might not be a noteworthy event, but in our case it was critical to executing effective promotions with our vendor partners, most notably in the tobacco space. Number five; resetting large format stores to achieve their return potential, our success in the tobacco space does not mean that we have taken our eye off the ball in the center of the store categories either. To further our goal of optimizing return on capital employed after analyzing opportunities in our large format 2,800 square foot store design, we implemented a reset across the group of pilot stores resulting in increased merchandising space, better product assortment, more appealing lining packages and displays, along with many other changes to help improve the customer experience and grow sales. This follows the successful resets completed last year at our kiosks and small format stores as part of our overall zero breakeven initiative.
’:
’: Quick wins to-date include, leveraging our existing scale to reduce certain G&A, insurance costs and vendor contracts, developing and implementing fuel pricing playbooks across the entire QuickChek network to optimize fuel volume and margins, and increasing the line of sight to larger target synergy, such as renegotiating fuel and merchandise supply agreements.
’:
’: Number seven; managing critical labor and staffing shortages. We were clearly not alone in facing labor and challenge -- labor and staffing challenge as businesses of all shapes and sizes are feeling the impact of the reopening economy combined with the myriad of competitive incentives and government disincentives. We are proactive in our approach to address the problem and deliberate in our actions to ensure our customer-facing services and sales-oriented activities were not compromised. We launched a hiring campaign which attracted more than 50,000 applicants in the second quarter and where appropriate, adjusted hours of operations in some stores where staffing challenges were most severe. Further, we prioritized and communicated critical functions and workflows to the field to ensure customer-facing activities were not compromised. We happily and intentionally made tradeoff to pay overtime to engage workers at one of the hours to help provide a seamless customer experience as possible. In addition, we implemented a mix of seasonal rate increases and retention payments, which combined with higher commissions from promotional selling activities, helped to stabilize turnover and boost new hires. While these actions did not completely offset the challenges we faced, they did help mitigate the pressure on our stores and allowed us to continue winning with our customers, as evidenced by the impressive merchandise results achieved, despite store operating hours that were 2% below normal due to staffing shortages. Number eight; leveraging our home office heroes. In addition to the dedication of our store associates, our home office teams have worked diligently behind the scenes to help seamlessly incorporate the QuickChek family and assets into Murphy USA. I want to especially thank our accounting team for all the late nights and weekends to close the books on two accounting systems, and reconcile different reporting periods, our technology team for helping to quickly integrate collaboration tools and back office functionality, our human resources team who had their hands full transitioning and onboarding an entire organization to become part of Murphy USA, and our contracts management team for accelerating the alignment of key contracts.
I am:
’: While the pandemic has resulted in fewer companies conducting surveys and general declines in employee participation, we achieved higher participation levels than in 2019 and exceeded the benchmarks across our priority engagement focus areas, including four new items measuring inclusion and diversity. High marks on questions around fairness, trust, and ability to effectively manage a diverse workforce, all suggests we are demonstrating our commitment to employee growth and wellbeing.
’: And last, number 10; believing in and investing in ourselves. During the first half of 2021, we actively engaged investors and took every opportunity to engage investor sentiment and perceptions, not only about Murphy USA, but also the broader convenience sector.
’:
’:
’:
’:
’:
’: This uncertainty persist against a favorable backdrop of structurally higher fuel margins, a continued robust outlook for new store growth and the long-term synergy capture and value embedded in the QuickChek acquisition. We could not be more confident about our future and our ability to execute for all our stakeholders. From the resiliency of our business model and agility of our leaders to respond to disruption, to the relentless pursuit to achieve the full potential of our growing business, through the actions of an engaged and never complacent team, I could not be more proud of the overall results this quarter. I hope this narrative provides you with additional and helpful color on how we believe the quarter should be defined.
I am:
Mindy West:
I am: Second quarter revenue was higher than $2.4 billion a year ago, which did not include QuickChek and also reflects lower gasoline prices. The average retail gasoline prices per gallon during the quarter were $2.73 versus $1.71 in 2020. Adjusted earnings before interest, taxes, depreciation and amortization or EBITDA was $244.5 million in the first quarter versus $274.2 million in the same period in 2020. Net income in the second quarter was $128.8 million versus $168.9 million in 2020. Total debt on the balance sheet as of June 30, 2021 was approximately $1.8 billion, broken out as follows, we have long-term debt of around $1.794 billion and additionally approximately $12 million as captured in current liabilities, representing 1% per annum amortization of the term-loan and the remainder a reduction in long-term lease obligations as they are paid through operating expense. Our $350 million revolving credit facility had a zero outstanding balance as of June the 30th and is still currently undrawn. These figures result in a gross adjusted leverage ratio we report to our lenders of approximately 2.6 times, and cash and cash equivalents totaled $165 million as of June the 30th. Capital expenditures for the second quarter were approximately $89 million, $22 million of which was attributable to QuickChek. The majority of second quarter CapEx was growth capital allocated to new store construction. Thank you, everyone. I will now turn the call back over to Andrew.
Andrew Clyde: Thanks, Mindy. Before I open up the call to Q&A, we want to provide an update to our annual guidance for 2021 reflecting first half results and expected performance in the second half of 2021 given increased line of sight to some key metrics.
’:
’:
’:
’:
’: Moving on to fuel contribution, we originally provided per store volume guidance of 245,000 to 255,000 gallons on an APSM basis. As volumes nationally and regionally have not come back as fast as we anticipated, we are now projecting volumes between $232,000 and $238,000 APSM. We fully expect to see higher structural fuel margins offsetting lower industry volumes to which Murphy USA maintains outsized leverage. Our merchandise business continues to perform and we are tightening our range towards the high end of original guidance to between $690 million to $700 million, and this increase comes despite some of the headwinds we mentioned earlier in the call. On the OpEx side, as our average format size continues to grow, we expect that our per store cost metrics to increase both from the 2,800 square foot stores in raze-and-rebuilds, which turn a higher performing kiosk into a 1,400-square-foot store. When combined with the larger format QuickChek stores, our original guidance was a range of $27,000 to $28,000 per store month in 2021. While cost control remains the central focus of our strategy, the labor market supply, government-sponsored COVID relief programs and inflationary pressures from a recovering economy have created widespread employment issues, not just for Murphy USA and our C-store competitors, but impacts have been felt more broadly across retail sectors. As mentioned, our priority has been to reward our employees who are committed to us to overtime contest incentives and commission-based adjustments, in addition to select market wage adjustments to invest in our people and maintain our sales growth trajectory. As a result of these actions, we are experiencing higher than normal pressure on our store level operating expenses, which in turn impact benefit and other employee expense items. While some of these impacts have not yet made their way into our financial results in the first half of the year, we expect the second half to reflect more labor pressures resulting in an updated guidance of $28,000 to $29,000 per store month. When we compare these pressures to the typical competitor in our sector who has larger average rosters and lower sales and volume throughput, we believe that not only will our relative cost impact be less than theirs, but we actually stand to gain to the extent their higher relative cost continue to be passed through in the form of higher fuel prices and margins. Our SG&A expense remains in the range of $190 million to $200 million as we continue to invest in critical IT projects and personnel to help support corporate priorities, including the QuickChek integration and drive long-term efficiencies and new capabilities. Effective tax rates are unchanged and expected to remain in the 24% to 26% range.
’:
’: In July, volumes are running at 93% of 2019 levels at retail margins north of $0.21 per gallon. Thus combined with the first half results already booked, we certainly expect full-year results to eclipse our prior modeling estimate. With that, we will now open up the lines for our Q&A. Operator?
Operator: Thank you. [Operator Instructions] We have the first question comes from the line of Bonnie Herzog from Goldman Sachs. Your line is now open. You may ask your question.
Sam Reid:
’:
Andrew Clyde: Yeah. So, I mean, the total contribution margin dollars was a strong mix of all of the above. I mean, if you think about our tobacco category, we continue to grow that. Non-tobacco on the Murphy side continue to grow as general merchandise from pandemic-related items, PPE, et cetera, was offset by new innovation and items.
’:
’:
’:
’:
Sam Reid:
’:
’:
Andrew Clyde:
’:
’:
’:
’:
’:
Sam Reid:
’:
Andrew Clyde: Thank you.
Operator: Thank you. Next question comes from the line of Bobby Griffin. Your line is now open. You may ask your question.
Bobby Griffin:
’:
’:
’:
Andrew Clyde:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
Bobby Griffin:
’:
’:
Andrew Clyde:
’:
’:
’:
’:
’:
Bobby Griffin: Okay. Lastly…
Andrew Clyde:
’:
Bobby Griffin:
’:
’:
Andrew Clyde:
’:
’:
’:
’:
’: And certainly, we see a benefit when they make improvements to their big supercenters and I know they see a benefit when they get a shiny new Murphy USA in front of their supercenter as part of an overall attractive everyday low price offer to customers. So, number of factors there that could impact that over the long run.
Bobby Griffin: Thank you. I appreciate the details and best of luck here in the second half of this year.
Andrew Clyde: Great. Thanks, Bobby.
Operator: Thank you. And the next question comes from the line of John Royall of JP Morgan. Your line is now open. You may ask your question.
John Royall:
’:
Andrew Clyde:
’:
’: Normally, you would expect this second half of the year to see falling price environment, in which case the retail margin is higher, the uncontrollable or the accounting timing trading variance would go negative and so you would see the net PS&W plus RINs to be kind of below the $0.025 to $0.03 that we would normally expect.
’: Normally, you would expect this second half of the year to see falling price environment, in which case the retail margin is higher, the uncontrollable or the accounting timing trading variance would go negative and so you would see the net PS&W plus RINs to be kind of below the $0.025 to $0.03 that we would normally expect.
’: Normally, you would expect this second half of the year to see falling price environment, in which case the retail margin is higher, the uncontrollable or the accounting timing trading variance would go negative and so you would see the net PS&W plus RINs to be kind of below the $0.025 to $0.03 that we would normally expect.
’:
’:
’:
’:
John Royall:
’:
’:
’:
’:
’:
Andrew Clyde:
’: So, the question is, for a coffee program, how do we want to best deliver that at a best practice level to our customers. Today, we do bean-to-cup [Audio Gap] associated with that. But we are nowhere near the condiment assortment or presentation that QuickChek has to make that offer attractive.
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
John Royall:
’:
Operator: Thank you. Next question comes from the line of Ben Bienvenu. Your line is now open. You may ask your question.
Ben Bienvenu: Hey. Thank you. Good morning.
Andrew Clyde: Good morning, Ben.
Ben Bienvenu:
’:
’:
’:
’:
Andrew Clyde:
’:
’:
’:
’:
’:
’:
’:
’:
’: But I would encourage everyone to think about it in terms of the breakeven formula, how are the relative sales going to do? What is their relative cost structure? How is it going to be impacted? What does the relative volume performance look like? And so I think that sort of market margin setting retailer is going to continue to feel ongoing pressure on all three of those fronts. And if there is anything, this environment should help inform investors about Murphy USA is worth continuing to sustain and grow share gains in key categories like tobacco. Our non-tobacco business had more room to rebound and it is rebounding. Our cost structure is lower and is not being impacted as much and we have additional levers like commissions and contest and the like to keep employees engaged and our fuel volume is recovering faster.
’: But I would encourage everyone to think about it in terms of the breakeven formula, how are the relative sales going to do? What is their relative cost structure? How is it going to be impacted? What does the relative volume performance look like? And so I think that sort of market margin setting retailer is going to continue to feel ongoing pressure on all three of those fronts. And if there is anything, this environment should help inform investors about Murphy USA is worth continuing to sustain and grow share gains in key categories like tobacco. Our non-tobacco business had more room to rebound and it is rebounding. Our cost structure is lower and is not being impacted as much and we have additional levers like commissions and contest and the like to keep employees engaged and our fuel volume is recovering faster.
’: But I would encourage everyone to think about it in terms of the breakeven formula, how are the relative sales going to do? What is their relative cost structure? How is it going to be impacted? What does the relative volume performance look like? And so I think that sort of market margin setting retailer is going to continue to feel ongoing pressure on all three of those fronts. And if there is anything, this environment should help inform investors about Murphy USA is worth continuing to sustain and grow share gains in key categories like tobacco. Our non-tobacco business had more room to rebound and it is rebounding. Our cost structure is lower and is not being impacted as much and we have additional levers like commissions and contest and the like to keep employees engaged and our fuel volume is recovering faster.
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
Ben Bienvenu: Okay. Fair enough. I want to ask about your operating expense. As you quantify that on a kind of cents per gallon relative impact versus the industry, given the noise from the contribution of QuickChek to the model, positive on the merchandise side, negative on the operating expense side. How should we think about kind of a steady same-store sales operating expense growth in your business in this environment?
Andrew Clyde:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
Ben Bienvenu: Okay. Very good. Thanks very much.
Operator: Thank you. Next question comes from the line of Matt Fishbein from Jefferies. Your line is now open. You may ask your question.
Matt Fishbein:
’:
’:
Andrew Clyde:
’: But the stories of district leaders, renting trucks, going to produce suppliers and making sure stores had what they needed to make sandwiches is frankly no different than our district managers at Murphy, instead of doing their walk for excellent scorecard is helping the store associates unload deliveries, take out the trash, clean the pumps, do whatever it takes. And so, I think this is where M&A can be difficult for firms or it can just be really fulfilling and rewarding. If you find a partner in that process that has the same culture and work ethics and fundamental beliefs about what it takes to be successful and excellent in this business, then you can be open and collaborate and move the business forward.
’: But the stories of district leaders, renting trucks, going to produce suppliers and making sure stores had what they needed to make sandwiches is frankly no different than our district managers at Murphy, instead of doing their walk for excellent scorecard is helping the store associates unload deliveries, take out the trash, clean the pumps, do whatever it takes. And so, I think this is where M&A can be difficult for firms or it can just be really fulfilling and rewarding. If you find a partner in that process that has the same culture and work ethics and fundamental beliefs about what it takes to be successful and excellent in this business, then you can be open and collaborate and move the business forward.
’:
’:
Matt Fishbein:
’:
’:
’:
’:
Andrew Clyde:
’:
’:
’:
’: But if we think about kind of the Murphy USA stores, 93% fuel volume relative to 2019, that path to purchase, coupled with the tobacco share gains, is a good indicator of the foot traffic. And similarly on the QuickChek stores, food and beverage is the traffic driver at those stores. It coming back is also a good indication of foot traffic.
’: But if we think about kind of the Murphy USA stores, 93% fuel volume relative to 2019, that path to purchase, coupled with the tobacco share gains, is a good indicator of the foot traffic. And similarly on the QuickChek stores, food and beverage is the traffic driver at those stores. It coming back is also a good indication of foot traffic.
’: But if we think about kind of the Murphy USA stores, 93% fuel volume relative to 2019, that path to purchase, coupled with the tobacco share gains, is a good indicator of the foot traffic. And similarly on the QuickChek stores, food and beverage is the traffic driver at those stores. It coming back is also a good indication of foot traffic.
I am:
’:
’:
Matt Fishbein:
’:
Operator: Thank you. There are no more questions at this time. Please continue presenters.
Andrew Clyde:
’:
’:
Operator:
’: